Operator: Ladies and gentlemen, thank you for standing-by and welcome to Rush Enterprises Incorporated Results Fourth Quarter’s Earnings Call. After the speakers’ presentation, there will be a question-and-answer session. [Operator Instructions]  I would now like to hand the conference over to your speaker today, the CEO of Rush Enterprises, Mr. Rusty Rush. Go ahead sir, have a wonderful conference.
Rusty Rush: Thank you. Good morning and welcome to our fourth quarter and year end 2020 earnings release conference call. On the call, today, are Mike McRoberts; Chief Operating Officer, Steve Keller; Chief Financial Officer, Derrek Weaver; Executive Vice President, Jay Hazelwood; Vice President and Controller, and Michael Goldstone; Vice President, General Counsel and Corporate Secretary. Now, Steve will say a few words regarding forward-looking statements.
Steve Keller: Certain statements we will make today are considered forward-looking statements as defined in the Private Securities Litigation Reform Act of 1995. Because these statements include risks and uncertainties, our actual results may differ materially from those expressed or implied by such forward-looking statements. Important factors that could cause actual results to differ materially from those expressed or implied by such forward-looking statements include but are not limited to those discussed in our Annual Report on Form 10-K for the year ended December 31, 2019, and our other filings with the Securities and Exchange Commission.
Rusty Rush: As indicated in our news release, we achieved annual revenues of $4.7 billion and net income of $114.9 million or $2.04 per diluted share. In the fourth quarter, net income was $41 million or $0.72 per diluted share and revenues of $1.3 billion. We also declared a cash dividend of $0.18 per common share an increase of 29% over the last quarter. We are proud of the team for their hard work this year given the tremendous challenges they faced. Even though demand was negatively impacted by the expected downturn in the industry, as well as the effects of the COVID-19 pandemic, our disciplined approach to expense management, previous investments and strategic initiatives and gradual economic recovery in the second half of the year enable us to achieve strong financial results. Rush truck centers have been fully operational across the country throughout the pandemic. While we will continue to monitor the impact of the pandemic on our industry, including supply chain issues that may affect trucks and parts availability, we will continue to carefully manage expenses and take a disciplined approach to continued investments in our long-term growth strategy. As we look ahead, and we expect the economy to continue to improve demand will increase throughout the market segments we support, and we believe our financial results will significantly improve in 2021. And the aftermarket, our annual parts and service and body shop revenues were $1.6 billion, and our annual absorption rate was 118.7%. Our annual aftermarket revenues decreased by 9.2% compared to 2019. This decline was driven primarily by weak demand from the energy sector and COVID-19 pandemic related issues, including production shutdowns and supply chain interruption. Our previous strategic investments in technologies including RushCare, Service Connect and Parts Connect enable us to continue to serve customers safely throughout the year. Looking ahead, we believe the nationwide economic recovery will drive healthy activity for a wide variety of customer segments. We expect parts and service revenues to grow gradually throughout the year and approach our 2019 levels. Turning in truck sales, in 2020, we sold 10,670 new Class 8 trucks down 28.8% over the previous year, accounting for 5.5% of the total U.S. Class 8 market. Our truck sales aligned with the market which was impacted not only by the expected industry downturn, but also pandemic related production constraints and supply chain issues. In the fourth quarter, new truck demand increased due to healthy customer spending -- consumer spending, excuse me, strong construction activity and strong freight rates throughout the country. ACT Research currently forecast U.S. Class 8 retail sales were 243,000 units in 2021. While the overall economy continues to grow, particularly in housing, automotive and consumer spending, we are cautiously monitoring component manufacturers supply chain issues, which may limit current manufacturers’ ability to meet demand through the year. We believe our Class 8 new truck sales in 2021 will be consistent with the industry. Our Class 4-7 new truck sales reached 11,311 units in 2020, down 21.8% from 2019 and accounting for 4.9% of the U.S. market. Our decline can largely be attributed to the impact the COVID-19, particularly on leasing and rental and commercial foodservice customers, as well as production shutdowns from some of the manufacturers we represent. Our fourth quarter results were further negatively impacted by the timing of fleet deliveries. ACT Research forecasts U.S. Class 4-7 retail sales reached 249,500 in 2021, up 7.5% from 2020. Looking ahead, while positively impacted by the overall economy, some challenges will remain for medium-duty truck sales particularly production lead times. However, with our nationwide inventory ready-to-roll trucks supporting a wide variety of customers, we believe our Class 4-7 new truck sales will achieve healthy growth in 2021 consistent with the industry. Our U.S. trucks sales reach 7,400 units in 2020, down 4.4% from 2019. Due to [Indiscernible] of new trucks used trucks were in high demand in the second half of 2020, which helps strengthen used truck values approximately 15% higher than their lowest point earlier in the year. In 2021, we expect demand values of used trucks to remain strong. It should be noted that due to normal seasonal increases in employment benefits and payroll taxes, we expect general administrative expenses to be sequentially higher in the fourth quarter of 2021. Our employees face some tremendous obstacles like this year, and I'm truly grateful to them for their unending dedication to our company, while protecting the health and safety of our customers, co-workers and communities. With that, I'll take your questions.
Operator: [Operator Instructions] We will pause for a moment to compile the Q&A roster. Our first question comes from the line of Justin Long. Go ahead sir. Your line is open.
Justin Long: Thanks. Good morning and congrats on the quarter.
Rusty Rush: Hi, Justin, appreciate it.
Justin Long: So maybe to start with parts and service, Rusty can you share what you're seeing in January from a revenue perspective and then just thinking about the quarterly growth of parts and services here, it's probably going to be all over the place given the comp, so can you give us a little bit more color about what you're expecting throughout 2021?
Rusty Rush: Right. Sure, you bet. I'll be happy to speak about it January. Well, the acceleration and growth in parts and service has continued as it was in the back half of the year in January, okay. That said, it's still less than January of 2020. You got to…if you look back over it, you said you only look at that quarterly, as you look back over last year, we know it was a little bit lumpy to say it at least. I would expect the first quarter maybe not quite back all the way with last year's first quarter, a little bit shy of it. At the same time, we know, you think about it, I was told everybody that last year was like a 13-month year, right? Because it was bad two weeks is really March that COVID really took effect, right. So the first quarter had a little COVID effect last year, but so it was a -- it'll be fairly difficult. But I believe we'll get fairly close. We started out a little late in January, but we're continuing to see, acceleration in our business pretty much across the Board and I am happy later to go through geographically what it looks like. But at the same time, we are seeing continued, growth and acceleration. Again, I caught back last year is going to be a little tough, because we hadn't hit COVID yet. Then we get into Q2, and obviously, Q2 is going to be up? Well, if all things remain the same. And we continue down the path we're going it's going to be up like dramatically over the last year, right. So you would, you would average that out. And I think that, you would probably if you were slightly flat to down in Q1 in Europe, high-teens, over Q2 of last year something like that mid-to-high-teens, say that in Q2, you could average the two see where you'd be at mid-year. And then hopefully, as we roll through mid-year, we will continue to accelerate, as I said gradual acceleration. It'll look a lot in Q2, but it's really not we just take this year, a snapshot of this year. We expect to continue to see nice gradual acceleration, which is the way I want it to go I want nice, consistent growth throughout the year back we're -- back operating like we do in normal times where we can see the work of the investments that we've made in the past, come to fruition. And so, hopefully, as we get towards the end of the year, we'll look for something, close to a 10% blended growth rate, but they won't be in flat lines, okay. Because of the way last year was when your company year-over-year, but we feel pretty good about where we're at. But we feel very good about where we're at. And where we're headed in the overall marketplace, pretty much across the board.
Justin Long: That's helpful. And thinking about parts and service gross margins, do you feel like 36% to 37% is the right range to be thinking about for 2021 as well?
Rusty Rush: I'd like to say 36%, when you blend it, you got to remember I know everybody's going to say well, it's sequentially, you're up, we'd had a couple tougher quarters in the 35% and Q2 and Q3 and obviously Q4 was up to 36% 8, if I'm not mistaken, right. So blended? Yes, we had we had one level was above the 37 during the middle of the year. If yes, if you want to take it in blended and average it, a lot of that has to do sometimes with timing and rebates and other issues. And also, as we know, it depends on the mix, right? Obviously, service margins are quite a bit higher than parts margin. So but to give you just a flat line broad answer, yes, I think we can maintain 36% blended throughout the year. And we'll try to do a little better as we go. Hopefully, we might have a little higher service growth rate next year parts seem to hold in better throughout the pandemic and service did especially in the middle of it. And I feel good that we're from a technician perspective, we had gone down quite a few of them. During the pandemic, and also a little bit of evaluation on our part. And we're going to try to steadily add back technicians at a nice steady pace to support the market as we go forward into this year. And we've seen that over the last four months or so, that's what we've been doing. So hopefully we'll be able to continue that throughout the year. Bring back a little service a little faster, which has a little higher margin. So that'll support the numbers that you're talking about.
Justin Long: Great. And last quick one for me. You mentioned in the first quarter and I know seasonally we always see some sequential pressure in the first quarter. But is there any more color around the step up in G&A that we should be expecting in 1Q?
Rusty Rush: I would say the inline was historical that we don't want to get into the exact numbers of service, but you can look back historically, we have a lot of -- there's a lot of employee benefits, equity comp costs that are high in Q1 and all the taxes come back and all the payroll taxes take effect, right. The Social Security, et cetera, et cetera, people that have maxed out, and that you're not paying them later in the year. Those types of things are what we see in Q1 historically, and it's no different this year than the past. There will be a step up, and then I think you'll see flattening out and maybe even going down. But I also think at the same time, you'll be seeing a higher especially in Q2, accounting on a better revenue growth base, once you get into the middle of the year, our revenue will be far out, it should be far out exceeding our expense growth. As we've talked about trying to get to, we've had it, we've basically finishing up getting everything back to reinstatement. And when we made the dramatic moves or drastic moves during Q2, we rolled in most of that in the back half of the year back quarter of the year. So, we should, as we get through Q1, I would hopefully see, some nice margin retention to the bottom line, and the back ends of the business, especially if we can continue to grow them as I think we will.
Justin Long: Great, I'll leave it at that. I appreciate the time.
Rusty Rush: You bet.
Operator: Our next question comes from the line of Jamie Cook. Go ahead, your line is open.
Jamie Cook: Hi, good morning, a nice quarter. I guess a couple questions. Rusty first, in your prepared comments in the press release, you noted supply chain risk, a couple times, I'm just wondering if you could elaborate, where you see that sort of concentrated to what degree it limits production in 2021, or the forecasts out there? And is there potential length into cycle? And then my second question to you, understanding the energy business is quite depressed for you guys right now. I'm just wondering if that's a potential tailwind in 2021 to your earnings. So if you could comment, sort of what you're seeing on that front? Thank you.
Rusty Rush: Yes, I'll take them in reverse order. What we love -- are we counting on energy? No, we're not counting like we've sort of changed the companies, in the last four years we used to be quite dependent upon it. We have evolved at the same time, don't make we would love to have some energy tailwinds Jamie. I can tell you that, we've seen a better, obviously, everybody knows the price of oil has been stable and rising a little bit. But that's pretty heavy. And the Saudis have, held back on supply. And that's allowed the price in my mind to get there. We see -- think we have anything our numbers, not really, I would tell you, there's a little bit of activity out there, which is better than zero that we had. But it is so slight, that, if I was to sit here and tell you we weren't even 2% of our parts and service I'm talking, no activity on the sales side, okay, on the capital goods side. But slight starting rumblings of a little bit of activity. But if we were less than 2%, last year, which we were of our parts and service revenues and gross profit, we're still less than 3%, okay. So but it's -- there's a little bit of -- we see a little bit of movement out there, but I am not counting on it. I think it's too fickle. But to answer your question, if we got it? Yes, probably a little bit of a tailwind. We'll just have to watch it. Because I just think it's very fickle. Given the price of oil and the reasons why is reason in my mind. And obviously consumptions gone up to as economies around the world and picked up consumptions going up also. So I don't want to just on the Saudis, but at the same time, we'll just have to watch and see if it would be nice. It would be nice if there was but I'm not going to prognosticate or forecasts out there right now, but it will be solved, but yes, your basic lesson wouldn't be a tailwind has been avoided if we picked up.
Jamie Cook: Okay.
Rusty Rush: Now we will go to suppliers, okay. Now we'll talk about suppliers. I didn't know any -- and well little I knew about chips a few months ago, probably less than anyone, if I had to figure out, trucks food, trucks used to live in their own world, right. I think I've learned a lot here lately. I've learned more than I ever thought I would, but everything we deal with, I don't care if it's a Xbox, TV or whatever, we everybody's got chips and we only got a few manufacturers and when they fall down somewhere you get into so I'm concerned that that sub Tier 3 supplier may be affecting the Tier 2 suppliers to the OEMs in different ways. I know everybody's scrambling, just like you read about automotive and everywhere else, not the same exact chip only the same people make them all. So I have concern out there be -- and goes around those -- the ramp up period is the fastest in 30 years. When you look at the acceleration of what happened with trucks here, we've had big volatile markets that go up, but not that fast, okay, in a lot of the lead times on some of this tough are 20, 25 and 30 weeks, even when you get into steel and other things outside of chips. So I've just got concerns. Now this doesn't dampen in my mind it’s even not a bad thing, okay. I don't think it dampens demand. Because if the demand is there, you start getting 5% GDP and free something in the next year, I mean, that's going to tell you where your demand is going to come from. And the growth in domestic product. But, I think we'll catch it. I think there may be -- I think the supply side we'll get to it. It's just it ramped, so fast. We may be looking later in the summer, okay. They're early fall to -- not that I think we're good at current levels, but the order intake has been so strong that if folks ramp up -- one person or one thing in particular, it's just the overall demand. Because it's not just the truck business, it's the demand for goods across the country. And so, it just stresses the whole supply chain, and not just on products, I think, from my perspective everywhere, whether there's going to be stressed till, the supply side catches up with it. And by the way, it's not just to ramp up. I mean, I look around my business until just the last few weeks, the shortest employees from COVID was -- we had more than November and December, we had the whole since March out, I mean, there's just been a lot of stress points here. And so I just feel that there may be some, a little bit of stretching out of what, the demand the order intake demands. I don't know, we can meet them, we'll meet them, it will just stretch it out, which for me is actually a little better frankly, okay. I don't think the demand is going away.
Jamie Cook: Is the supply chain issues? Is it just concentrated in chips or do you see risk, are you seeing I guess any other parts?
Rusty Rush: No, I think there's other risks, there's no question. I mean -- and I don't like things I hear I've heard things this week, I haven't had time to explore, like oxygen in Mexico for assembling tanks, because they said put it to hospitals. I don't even know what that means. I've heard other things. I just think I've heard -- I saw the other day about rubber, okay, and start talking about tires. I think it's going to continue to accelerate and be broader, okay. I do think we'll catch it. I just -- and I'm not an expert on this. But we need to be cognizant that that may put some constraints, because I know the manufacturers all manufacturers are not just one. All manufacturers are right raising bill rates. So as they raise bill raise that just continues to put more stress if other parts of the economy demand, similar type things to build their products, the demand is just huge. It's across the board, for nobody goes on vacations, they just go by, they go by bicycles and washing machines and refrigerators or TVs or Xboxes. And even it's that way inside of our industry supporting that, because rate demand is so strong, and we just it's going to take a bit to catch it. This is my opinion, okay, this is I'm not an expert by any stretch. But that's what I see. As I look out there and talk to people and other businesses to not just in the truck business, we will catch it, but I think it's going to be -- I think you'll see it hit things were -- things I haven't thought about today, clusters, dash stuff, all those types of things are going to be under stress. Because and it's not just us you saying what the automotive guys are doing? And I think you're going to find that across work. I do believe we'll catch it. But I believe we might be and I believe the OEMs will get they'll be able to ramp production. I just don't know for sure they're going to ramp it up. Everybody's doing it. Is it enough to meet demand at the levels it should to keep backlogs, in a decent level? I don't know about that's right I don't know. That's what I don't want I'm not sure if that makes any sense what I'm talking about.
Jamie Cook: Yes, no. That's helpful. Just one more question. And I'll get back in queue. The strengths in the margin, the new news truck margins and a quarter of the 8.7%, with that gains on new truck sales, I'm just trying to understand what drove the margin there that’s what it was?
Rusty Rush: Yes, solid new truck margins, but at the same time, record used truck margins, okay.
Jamie Cook: Okay.
Rusty Rush: With the used truck margins was the best quarter we've ever had, okay. So everybody says, well, what sustainability, well, supply side on the used right now. I got the lowest inventory used trucks. I've had years. I wish I had more in normally don't say that. But, used truck demand when we shut down factories for a couple months, and then slowly ramp back up. Let's go back to April, when we started ramping back up in the summer, then the Oregon, he had freight both of the routes, but freight but markets up 30% 35% demand is there, they can't get new trucks, new truck inventory gets taken down on used trucks right behind it. And so people to meet that freight demand that was out there. Well, guys wise, I want to explain this contract to you start supply demand, right. So both your margins go up, people are scrambling for product. You're able to get better margins. Like that what we get paid to do. People do and so that's what happened. So do I -- I'm sure somebody might have asked me to used truck going forward question I look for used to remain solid and as I said that my notes. While I look for used trucks remain solid, dump, volumes can get there because supply side is a little tight right now. But at least for the foreseeable future forever, as we all know, used is pretty good cyclical. But for now, used should remain fairly strong,?
Jamie Cook: Okay. All right. Thank you. I'll let someone else get a question in.
Rusty Rush: Yes, ma'am.
Operator: Thank you. Our next question comes from the line of Andrew Obin. Go ahead sir.
Andrew Obin: Hi, yes. Good morning, Rusty.
Rusty Rush:  Well, good morning Mr. Obin. You there?
Andrew Obin: Yes, can you hear me?
Rusty Rush: No I lost you -- now I can, I lost you there for a minute, buddy.
Andrew Obin: Yes, sorry about that. A lot of stuff in the news about sort of new technologies for trucks, batteries, hydrogen, maybe can you talk about what you're seeing? How this will impact the industry? In the next three to five years maybe and maybe give us some thoughts about longer term projections? Thank you.
Rusty Rush: You bet. Well, this, could -- you think I ramble? You get ready, you're going to get a ramble here. I'm going to -- I've been trying to get my head around this myself, obviously, this next decade is going to be the biggest disrupter decade I've seen in my career, okay. With everything going on, from a political perspective, from a climate perspective, from a -- from every hitting -- hit from every angle, where we had a pretty stoic, last decade from 10 to 20. After going through all the stuff we went through from 2000 to 2010. Everybody has drove up fuel mileage in 10 to 20 with not a lot of government regulation. Well, here it comes. As most folks know, car has issued a 2024 and then a goal for 2013 also, right. The rest of the EPA has a 2027 initiative out there. So this is where the -- I don't have time to go into all of it. But the political driver is going to be huge, from the requirements, from admission requirements, right. We all know, we're hearing about EVs every day, right? Everybody is hearing EV, and hear about hydrogen. Well, this is not an add water and stir issue. Technology has not arrived at what people believe and want demand to be. That being said, as we go forward, I guess the best way I can describe it, dealing with all your political issues and driving and environmental protection stuff when it coming out of California, which right now is passed the 2024. Right now New Jersey is the only State that's aligned with California for the 24 emissions. There 24 emissions demands are similar. So you got to understand, this is to understand what's going to happen with from a propulsive -- from an engine perspective as we go forward. The 27 EPA, right now, even though it's not finalized, is similar to the 24 saying, we got to have, knocking down the greenhouse and knocks, right. I would tell you that what will happen is it's going to be driven a lot by market segments, okay? EVs, we go forward as it ramps up, we still don't have all -- there's only people out testing him right now. Do not get carried away with thinking they're big fleets running up and down the highway with full electric fleet there are not. Remember barriers to entry infrastructure, through the technology battery weigh all these other things, these are going to be wrapped around. EV is going to be best suited for operations, that return to base on a nightly or every day and have set mileages, okay. If I was to look at it, and as we go forward, there are demands put on, it will come, it will be in the more those types, it will be in for sure, in your Class 4 and 5, right? I got to believe and in your Class 6 and 7. Class 8, just from -- it's not going to be in the truckload side, anybody that thinks that we're going to be running in five years, electronic -- electric vehicles, they're going to be running long haul, has another thought coming, okay, another thing coming. That's not going to be the case. The technology is not suited, but -- technology is not suited to run over the road for long distances like that too much weight batteries that were just not there. And I don't think long-term, even looking at 15 years, I don't believe that it will be in the long haul Class 8. I don't want to get into all the different percentages. I've talked to a lot of folks, a lot of manufacturers, a lot of folks. And I've got to tell you that actually tomorrow, ACT report coming up. And it's an independent report. And ACT have an electric or an alternative fuel report coming out tomorrow that if anybody out, want to pick one up, subscribe to it, I would suggest you do it. So well put together I've talked to the folks seems to be well put together without alternative motors involved. So from an independent view that it’s got to coming out tomorrow, actually, I think it's going to give a pretty good overview of it. But talking to multiple folks, electrics going to be there, but it's going to fit in the segments, where it belongs and as we get to it. So I don't look for it to take over like, if I was to look out, say to 2030, in Class 8, maybe 12%, 13% of the market, in ‘24, it might be 3% of the market. Now, if you go to Class 4 and 5, you're going to see that by ‘24, it might be a quarter of the market 26%. And these are just from talking to people, everybody's estimates because it takes -- if you can wish you want everything you can got but, just because you want an electric vehicle, can your grid support it? The grid can't and you got to go in and work with the electric companies. It's like some folks they say they think it's like, what, they heard about just plug it in? Well, it's not, there's so many other things that are involved. It's not like it's pulling up to the pump and fill it up with diesel folks. It's not. Another thing you probably going to see is I think natural gas and especially RNG renewable natural gas, I think you're going to see an uptick in that as we get into the mid decade, okay. I think there's going to be an opportunity for RNG if people are willing to studied RNG, let's see, it's the cleanest thing out there. Remember, like, we still got 50% of coal plant, coal burning plants, okay that make electricity. So I mean, Class 6 and 7, it will probably move up in the next four to five years, you might have 10%, 12% of it by ‘24. Now, not now, not ‘21, not ‘22. That point, probably when we get into ‘24, and then probably move up into ‘30 by the time you get to 2030. But you're not going to see that across Class 8, you're not believe you're going to see those same numbers in 8, just because of applications. Think about electric there's certain applications not just long haul, but electric. I don't think it's going to work good for their work, good and refuse. All right, they work good. We know of working buses, we know what's going to work in that type of stuff in medium products that run around town. It’s not going to work on a dump truck sitting on a jobsite doing this and the other not moving and waiting for three or four hours. I mean, there's just certain applications whether it's weight sensitive or this or that, but it's going to be difficult for a while to get to. Now you asked about hydrogen. Folks say that hydrogen is the answer for long haul, okay. I got to tell you hydrogen is a little waste out there, okay. That's even further out. Electric is closer to us, even though it's not going to overtake the whole market as I said. Everybody's a little bit out there thinking about that. But hydrogen is further out, the application of hydrogen, you're talking 10 to 15. Years. I think just I mean nothing, they don't want to have hydrogen trucks testing them or don't have them now and running them. But, infrastructure is huge around that. And costs, fuel costs and other costs, there's still a lot of, hydrogen is just really electric. And it makes electricity with hydrogen, right at the end of the day, when you get into all this, and I'm just remember, I'm not a technical expert, I'm doing my best to keep up with it. While adding a little bit of practicality of things, I think that's what I'm pretty decent at. Is that a little practicality of things, when wishes and wants of folks and everybody out there trying to sell and own horn? I just think that all fuels are going to be in play for the next 20 years, okay. We're not just all of sudden, 2030 like that, they want everybody wants to go to zero emissions, I get that. And also, these demands, we're putting in ‘24 and ‘27, they're going to raise the price of diesel dramatically, the price of engines, I don't mean the price of fuel, fuels driven by something else. But the price of engines are going to go up dramatically to meet the requirements of the government, I'm talking more than 2006 and ‘10 and all those, okay. I think the costs are going to go because of the adequate treatment systems and the demands that are going to be put on the diesel engine, okay. It's still going to be cheaper than electric and everything else. But I know I -- and you can get into payback periods and all that I don't have time on this call, again, though, I would forgot, I learned a little bit, I would recommend trying to get that report. Because I think you sounded like a pretty good report, when I'm in the snippets that I've been getting from it from an independent view, as you just tried to get your arms around where we're headed. So, it's hydrogen, but that's, that's out there, it's going to continue to be in the news. But at the same time, I do believe you're talking 10 to 20 years, electric quicker market segment driven, you're not going to be able to use it in every segment. But technology still has thrived battery, the battery storage and usage and cost, weight and density. And then you're going to run into problems with lithium or whatever, four batteries being controlled by certain countries, I'm not going to get into all of there's going to be don't like if I says will cost are going to come down and they are going to come down. But there's going to be a demand is also going to drive costs up in certain ways. So those are things to be sorted out as we go through this next decade. And I probably have rambled long enough. I'm probably not your number one expert, but I've tried to give a little bit of color. Diesel is not going away. I don't care what they tell you. There's still going to be 7 diesel trucks in 2035 folks, okay. I would especially in Class 8 long haul I don't see it taking that over. Other applications, as I said, will be where you really pick it up that, but not in certain applications. And so I'll leave it at that. I could probably go on longer, but probably talk long enough.
Andrew Obin: As long as I got you going. I'll ask a follow up. Any thoughts on autonomous?
Rusty Rush: Oh, boy, you track? If you think I'm a scientist here as well, we want him. Well, all right. Let's start to talk. All right, automation, there's five stages of it. Remember, everybody thinks they say autonomous boom, there's a truck and there's nobody in it, right, right, right. Well, I don't think it works quite like that. There are stages and by the way, there's a lot of folks and back [Indiscernible] do samples with Navistar and you've got out there and you got always embark I mean, there's autonomous being worked on as we speak. Third trucks running up and down the highway, in certain states that have been running now for a while being tested with different levels of autonomous. I do believe that we -- but first off, there's going to need to be some more state laws and regulations passed to allow it, okay. That that's going to happen first, okay. There are areas that are being run right now in testing, no question about it. But does that cover the country now. Is it going to cover 50 states now, there's going to have to be legislation passed first and foremost before you can really have autonomous trucks, but you're not going to see level five in my mind. Because level five means there's no money in the cab, okay. I don't see that happening for a while. I do think that you will get some legislation and you will have a technology going forward that you will get level four, maybe three to five years in some areas. Which that means there's still a driver in the cab. Now he doesn't have to be right behind the wheel – autonomous. But I'm not okay. But, there's a guy in the cab, but he's maybe working on his books, or he's doing this or he's doing that, but he's not behind the wheel the whole time. I think you're going to get that within five years or so. And but remember, there's still going to be legislation and other things passed to allow that full autonomy level five, driverless? Not so sure how far down the road? Will it get there 15, 20 years? I don't know what the answer is, probably. But look, we haven't even gotten automotive cars all the way there yet. And people are much -- the natural human being watching an 80,000 pound vehicle go down the road with no drivers just for say they're going to do is make a right answer to get out of the way, okay. So there's a lot of perception to get through from that perspective, even whatever technology gets to us. We'll be dealing with once we get out there, but I do believe as I said, you'll get into the lower levels of it, there's no question. As we go forward, there are large fleets, they're wanting to rely because what's their big drivers, right? So that and what's the big error while time is diver, so they're wanting, because even if they don't get the full autonomy, the skill set required, would be less than possibly the skill set that was required now, from a driver perspective, so I hope that helps. I think we're going to get somewhere I wouldn't look at full autonomous for a while. But I think you're going to get different levels of it. Maybe sooner than you think, three, four or five years down the road. But we got to get through the legislative piece first, it also, you got to get laws passed that will allow such things. I hope that helps. 
Andrew Obin: Thank you. Thank you for a thoughtful answer on both counts. Thank you, and great quarter.
Rusty Rush: Thank you, Andrew. I appreciate that.
Operator: Thank you, sir. The next question comes from the line of Joel Tiss. Go ahead, please.
Joel Tiss: Hey, guys, I hope you didn't put your $500 bonus in GameStop.
Rusty Rush: Well send someone I will put it in, I pulled it out how well I did -- done it.
Joel Tiss: Yes, that's true. So I wonder if we could go in a little bit of a different direction, and just talk about some of the lessons you guys are learning around, like flexibility on the cost structure, because that's pretty amazing, a $1 billion decline in revenues and your net income was down, $25 million. And so I just wonder how you guys were thinking about, holding on to some of that, and what are some of the things that you learned in 2020? Thank you. 
Rusty Rush: Well, I think I have mentioned on the last call. I learned more than I -- my stubborn old, what else thought I ever could, right. It was an interesting year. But it was a very learning it was a hard year and a hurtful year in a lot of ways for everyone, yes. But at the same time, lessons are supposed to be learned in those types of environments. So let's look, and I'm taking down a little further deeper Joel. Let's look at the fourth quarter, let's look at year-over-year, Q4 how about that? Revenues flat, maybe Class 8 truck sales up a couple of 100, medium up 400 or 500 If I remember, right, I'm going off pretty flat, use 4% off a little, parts and service of 6 or 7. Let me see net income, $0.41 and $0. 72. I think we're learning something here. So if we learn anything, we're going to do a better job. I don't -- and by the way, you may look and say, well, your G&A was up this and that. And, we stripped us out. I tell you look at the results, you can tell. I feel pretty good about it. And I feel good about where we're going to be headed. What we have learned about how we can manage. And right now, it was a little muddy in the quarter. In a lot of ways we had reinstatements we get -- I gave out extra money, of all the employees and thankful, very thankful for the hard work and dedication throughout the year. I did this and I did that. But at the same time, I go back to what I just talked about, and that was the results when you comp the quarters, year-over-year, the biggest change was net earnings. So regardless out may look a little muddy inside of there, obviously expenses were very much a -- the whole lot better in inline where they should be. And so I feel really good about that. And that's part of the goals inside the organization. I mean, I'll even speak to some of the -- speak to some of the things we've implemented, just like sports, guess what, we got salary caps for us now, all right. So, if you grow revenue, you can grow your salaries, pretty simple, it's going to be tied to some stick number. So there's other, I don't want to get into it. But there's other things that we learn that we're implementing, not saying we won't add and take care of business and do this any other. But we can do a better job than what we have done historically. And in sometimes it's hard for you all to see, don't look at it in the quarters, look at it in a year and look at it in the results, because quarters can float and fluctuate and things going on, especially as I've been doing reinstatements in this and that and the other. But I feel very, very good. That and I think you'll see the results will show that as we go forward. Because I think, the truck business itself, if you look out there, and that's, and I can't control sales, but truck sales ought to be pretty good the next three years, okay. ‘24, we'll worry about when we get to it, we started implementing all these other costs and stuff into products, and these technologies and change them. But I will tell you for the next three years, you got to feel good about that side of it. And I feel very good about where we're at, I feel very good about what we're going to do with our parks and service business. With the initiatives that have not -- we have not squeezed it all out of there. And they're not to fruition and not -- and we're continuing to invest and spend money in other ways. And I'm not going to talk about, okay to support the growth of the future. So I mean, I would tell anybody look at the balance sheet, all right, look at the cash, look at the balance sheet with the situation we are in. We're set up to continue to invest and continue to grow, and do what we've, done. And also do it better with the knowledge that we got from last year. And I don't know, you want me to -- you get me going I get excited about it. But I truly believe that we're a leader company. And I think we're not alone out there. But I think what we learned is that because we have to look back in two years and say, hey, we wanted to talk, right? I'm sitting here and talking all I want. But it's up to us to execute the top and -- well I will let up showing up in the numbers, hopefully as we go forward.
Joel Tiss: Well, that's great. Can you give us a little bit of a sense of your, your best guess kind of a free cash flow in 2021. And just thinking around your $100 million share repurchase, you're going to do that all more front-end loaded or is that is that more of a longer term multiyear rollout?
Rusty Rush: Well, we've been approved that, I can't -- I feel good about what our company is going to do. But I can't control markets and market correction. So, we want to make sure that we're set up if there's an overall, we're going -- we've been nibbling at it in mind, we're going to probably accelerate that some, but more on a consistent basis, as we go throughout the year. At the same time, we'll have power there. If we believe that we're being -- because of a market correction, not a Rush correction or something that we're doing, we feel very good about our strategic plan. And that's why we continue to buy at it. And we will probably accelerate that somewhat. Cash flows Steven.
Steve Keller : Free cash flow, and I know it gets mass in the cash flow statement. If you just look at the number we printed at the end of the year, even in a year like ‘20, we grew our cash considerably enter in the year with $312 million that will continue free cash flows, going to be a call it $175 million to $200 million next year. And, kind of piggyback on Rusty's answer on share repurchase, we -- our guideline is to try to return about 40% of that to shareholders of free cash flow. That's our capital allocation guideline. But that includes both the dividend which we just raised considerably. Actually, we've doubled it from a year ago quarter when you do all the split adjustment, and it was $0.09 a year ago and it's $0.18 now. So that's going to eat cash, and then the balance of that 40% of free cash flow, we would expect to deliver through a share repurchase. And if we see an opportunity to actually repurchase more than that, because of market correction, we've got plenty of dry powder to do that.
Rusty Rush: Yes, the balance sheet still holds a lot of cash yes the numbers -- we will still spend a lot of cash even returning back. So and the balance sheets holding a lot of cash right now. So we feel compelled to continue, because I don't -- you're going to say well, what about acquisitions? I don't have a lot of big ones, unfortunately, I wish I could. And we're continuing to look but with a market is strong as it is, is I don't know how I don't know what opportunities will be out there and given the breadth of our network already and when you're the largest for four or five manufacturers already it becomes a little bit more difficult sometimes.
Joel Tiss: And having a lot of cash is a beautiful thing, thanks. Thank you very much.
Rusty Rush: You bet. Yes, I mean if you really at is bringing back on that real quick, let me better say it ma'am. Is and really about other than a couple of small items. The only debt we've got is lease trucks and fore paid. We don’t really consider that. That leased trucks is just buy because we've got 8,000 plus unit, 8,500 plus unit lease simply. That's just tagged to an asset and we always have gain on sale, we're really concerned to win the full play and we turn it three four times a year. So, it's just a trade payable to us. So, we feel like we're our balance sheets in good shape. Okay ma'am, I'm done for once.
Operator: Thank you. We do have a one more question left from Brian Schwartz, Oppenheimer. Go ahead, please.
Brian Schwartz: Hi, good morning.
Rusty Rush: Good morning, Brian. How are you buddy?
Brian Schwartz: I'm terrific. Month 12 in the basement but that's okay.
Rusty Rush: How is your boss doing up there?
Brian Schwartz: He's wonderful, I'll send your regards.
Rusty Rush: Tell him, tell him Brian, William Rusty said hello. Tell Mr. Gibelli [ph] I said hello. Okay, then nice, please.
Brian Schwartz: Certainly well. Question for you, a couple of questions. Lease and rental customers, now you would call the tariffs an area that had been weak. What do you see in there?
Rusty Rush: We're seeing strong lease and rental again, Brian. We started off the year strong. I mean, typically and you're separated from lease into rentals. And we deal with when we have go back when COVID hit, we had some of the food service businesses, things like that. When I called then on the call, I was talking about that was buying vehicles earlier, not necessarily my lease and rental. Which one you are referring to, what my sales are or my lease and rental business?
Brian Schwartz: I'd take both.
Rusty Rush: Oh, of course you would. Lease and rental purchases for next year have accelerated, no question. Like way of from lease and rental truck lease last year. They are coming back this year. They can't stay out of the market, well they got to turn that trend, right. Because you get things roll up. So yes, lease and rental companies are back in the market much stronger this year than they were the last year. Our lease and rental business was quite resilient last year. I was very proud well the effort where lease and rental got us. Well, of course it wasn’t a record year, it was a great year under the situation and what we've done with. As I look after right now, typically we used to always say you get the Christmas, this is old school and your rental goes down. Your utilization rates go down, I'll say they've gone down here it is right at the moment. So, and that's indicative well the overall economy, right. Your utilization is in good shape from the rental perspective. And our lease business I'm sure will continue to grow. We have I mean it's slightly we don’t grow fast; we only grow three or four five points a year. But we expect and to continue as we go forward. We run a really conservative there. We run it very profitably in all markets now, especially over the last five years they've really tuned the game up over the last five years our book sales. I mean, we're very pleased with the results of our lease and rental business over the last five years. I don’t think that's going to change as we go forward.
Brian Schwartz: Yes, that's great. Now going back to the cash question. You're sitting on quite a bit of it. What's the M&A environment touch up really grow, obviously and it can grow the pack up for your business. But other brands?
Rusty Rush: It's tough, man. It's when the market gets with, I -- unless we go back to you would tell me in March, April, at that Oh boy I was rubbing my hands together and then licking my chops, I thought I was going to get a chance, right. Well, then accelerated back up so fast with the opportunities out there dried up pretty quickly. So, I would tell you that right now. Am I looking? Yes. And my God do you think real and big? No, not really. But that mean something won't show up. I mean, we're still got a JV up in Canada and but third part of '22 we'll consolidate that to some degree. But other outside of that, a couple of little breeze but nothing really big that I can say. I wouldn’t tell you that had start in many ways. So, I've never told you begin with, when the mailman tell you, right, because I got it inked up, God I'm not going to tell you'd begin will so. But I would tell you it's we're out there looking but with the market acceleration like what we've had. Well, lot of folks like Clip Coupons and so instead of taking great to take or buy out, okay. And they well keep clip and coupons and you got a pretty good runway like I've said earlier it was like there was a pretty good three year runway out there for the truck market given changes are coming in the back half for the decade. They're going to demand a lot more costs in products. And we got it the economy, he's started running 5% and 3% for a couple of years here. Well, we haven’t seen that work since pre '09, and pre '06 or something, I don’t remember when. So, that usually boards well for the truck business, we grow with it.
Brian Schwartz: Yes, last one. Any change in behavior with some customers now that trade in will be wrapping up Navistar likely in the next few months.
Rusty Rush: I think the exact -- the one thing you don’t hear that we used to hear, say four five years ago, you had that issue of long term viability. We used to wipe that off the board, okay. That gets taken care of. The other piece is I see some of their announcements you'll see. Some of their alignments whether it'd be with General Motors the other day working on hydrogen or with FreightOn or -- they've already been working collaborating together over the last couple of three years on products. And I think it'd be coming to market as now like it's just started. Because they were collaborating anyway on stuff. And they've already taking advantage with the purchasing, could be on it and doing more and more of that. So, from a customer perspective, it just it just makes a stronger outlook for the organization. And we feel very good about it. And actually they're building new plant down here in San Antonio right now. So, there is a lot like that, it got a lot of good things. It was just like, I got to go and do all that. One thing I know is our suppliers or our end manufacturers, I feel very good about the folks we represent across the board right now. And so, and that was drive things in a better shape they've ever been. In fact, overall it's in great shape. So, we feel good about both going forward and also our medium-duty suppliers. They got little hiccup here or there. But and sometimes when the supply fell on the medium side at a couple of OEMs but I do believe that it'll all get on back and it'll work, I feel very good.
Brian Schwartz: Excellent. Well, good talking to you and best of luck this year to --.
Rusty Rush: Good luck, Brian, the stairways -- good luck Brian, no stairs out of that basement.
Brian Schwartz: We're getting there.
Rusty Rush: Okay. -- Alright.
Operator: Thank you, sir. And we do have another one from Joel Tiss.
Rusty Rush: Yes Mr. Tiss, you get one more chance.
Joel Tiss: With that. But I just wondered if you can give us a little bit of a sense of what's behind your next three years are going to be strong in the industry. Is that sort of a more of a gradual pre-buy ahead of all these new zero emissions standards or anything else in there?
Rusty Rush: Oh, I think you'll see some of that in '23, okay. I think most of it Joel, which had to do with the economy right now. And at the pace it's running at. I mean people took whatever income they had they stopped travelling. When was the last time you were anywhere, okay. And then they started to spend it and then government stimulus and everything else and the whole good sector. Well, that's got to get there by trucks. Okay, they're not -- we're not back to start truck and beam me up Scotty. So, and until we figure that out, trucks are going to be the way the things are delivered. And that being said, and then you've got you still got demands for on the driver side of the shortages. I realize there was distribution changes going on, everybody says the Amazon trucks run around town with the same van. That’s actually created more truck -- drive, it's driven from more trucks because nobody goes to the malls to buy it. Okay, drive at home in their vehicles. So, it's just created further demand across the board and changes in distribution. And with GDP being up like it's going to be and all those other factors. I think it's just that demand is out there. And that's what and I just don’t see I mean I could be wrong, I mean something, in this economy we had -- I have my overall concerns about how much money you can give away. We're not going to get in all of that. I'm not holding that kind of show right now. But I have my own concerns one day. But I do still believe that outside of some big national deal what drives macroeconomic, when I got to we're set in or something like that was I don’t see now I presume it's longer term about that. But it's just going to board well for trucks, that was across the board. And that's we don’t see demand we see great up. I mean trades still up and strong. And I don’t think people put as many miles as they used to because distribution dynamics have changed. They don’t put as many miles on trucks, et cetera. So, but it takes more trucks to get it done. If that makes any sense so.
Joel Tiss: Well, okay. Well that's perfect.
Rusty Rush: There's nothing I see out there which says it's going to be bad over the next couple of three years. Okay, that's all.
Joel Tiss: Okay, great.
Rusty Rush: And got?
Operator: There are no further questions, sir. You may proceed.
Rusty Rush: Well, great. Well, since it's been a while since we talked to you last time since was a Q4 release. We will talk to you in couple of months in April it looks like. So, thank you very much for your participation this morning. We appreciate it.
Operator: Ladies and gentlemen, this concludes today's conference call. Thank you for participating. You may now disconnect.